Operator: Good morning and welcome to the CEMEX Third Quarter 2021 Conference Call and Webcast. My name is Dan and I'll be your operator for today. [Operator Instructions] And now I will turn the conference over to Lucy Rodriguez, Executive Vice President of Investor Relations, Corporate Communications and Public Affairs. Please proceed. 
Lucy Rodriguez: Good morning. Thank you for joining us today on our third quarter 2021 conference call and webcast. I hope this call finds you and your families in good health. I'm joined today by; Fernando Gonzalez our CEO; and Maher Al-Haffar our CFO. As you are aware we hosted the second part of our Annual Analyst Day three weeks ago. And as a result, today's commentary will be more abbreviated and focused on the quarter. We encourage you to access the full recording and slides of our Analyst Day on cemex.com. As always, we will spend a few minutes reviewing the business and then we will be happy to take your questions. I will now hand it over to Fernando.
Fernando Gonzalez: Thanks Lucy and good thanks to everyone. In the third quarter we had strong topline growth of 8% on a like-for-like basis reflecting continued demand for our products as well as the acceleration of our pricing efforts to compensate for input cost inflation. Pricing was the most important level in performance with all regions contributing to growth. Indeed, cement prices rose 6% year-over-year the biggest year-over-year pricing percentage gain in fourth quarter 2016. However, this achievement was not sufficient to protect us against supply chain issues, as well as sudden drive in fuels, electricity and transportation. As a result, consolidated EBITDA margin dropped 1.6 percentage points. As always, we moved decisively to address cost headwinds through pricing actions and you should expect that we will continue to do so in the future. Meanwhile, our cost discipline continued to pay off as we maintained record low levels of OpEx as a percentage of sales. Free cash flow after maintenance CapEx was approximately $370 million decreasing versus last year due to higher maintenance and working capital investment. But importantly year-to-date free cash flow after maintenance CapEx followed versus the prior year. We continue to make progress on deleveraging with our leverage ratio now at 2.74x a reduction of 0.11x on a sequential basis. Finally, I'm pleased to announce that in the next days, we will be refinancing $3.25 billion of bank debt with an improvement in terms and conditions more reflective of an investment-grade credit. The security undermined the bank loans, as well as the breadth of our senior debt has fallen away. And importantly, the bank debt under the new agreement will be aligned with our recently announced sustainability-linked financing framework. Haffar will elaborate on this during his remarks. Despite weather impact in several major markets, volumes were an important driver to sales with growth in all regions. Total domestic cement which includes cement, mortars and clinkers as well as aggregate grew 2% on an average daily sales basis. With formal construction recovering in emergent markets, ready-mix volumes were up 5% while sales of our new business line of urbanization solutions continued to expand with growth of 16%. Pricing however was the most important driver of sales with all regions and products contributing to growth, year-to-date cement pricing gain was complemented in third quarter by a second round of pricing increases in Mexico, United States and Europe. In the case of the United States and Europe, this was the first time in almost 15 years that we have introduced a second round of national cement price increases, in the same year. These announcements were successful, as evidenced by sequential pricing gains in all three regions. In third quarter, EBITDA declined 1% like-to-like. Volume contribution at the EBITDA level largely reflects product mix in acquired where ready-mix volumes and urbanization solutions sales grew more than cement. Pricing was the largest contributor to EBITDA. While pricing was sufficient to cover the increase in variable cost and freight, largely energy-related it was not enough to compensate for the rising cost of imports. Imports, primarily in the U.S. were responsible for 1.8 percentage points, headwind in margin. While we do believe some of these cost headwinds, such as shipping and fuel shortages are transitory in nature, we are moving quickly to adjust pricing. With tight supply demand dynamics in most markets, we expect such actions to be successful. In our bagged cement market, you should expect continued rapid adjustment to recover input cost inflation. While in our developed market portfolio, we are seeking to increase the frequency of pricing increases to better reflect cost headwinds. And for all markets, we are currently preparing 2022 pricing announcement, which for many developed markets may include two pricing increases in the year. OpEx as a percent of sales was flat sequentially at 7.4%, equal to second quarter 2021, a record low and 1.4 percentage points lower than the prior year. With new initiatives such as our working smarter program, our global initiatives designed to utilize digital platforms and automation technologies to standardize and centralize business processes we should expect continued savings on this front in 2022. Finally, we benefited from an important FX tailwind in the quarter of $21 million. The gain came primarily from the appreciation of the Mexican peso and British pound. In the quarter, we continued to advance on our operational resilience funded. Despite the rising inflectionary cause experienced in the third quarter, we are still within the range of our EBITDA margin goal of 20%. We continue to make sequential progress in de-leveraging with a decline of 0.11 of a turn in leverage. We increased our bolt-on and margin enhancement portfolio of approved projects by $90 million to $800 million. And finally, with regard to our sustainability agenda, it was a big quarter. Outstandingly, we reduced carbon emission, by 1% sequentially. We received validation of our 20 study Scope one and two targets from LBTI, under the well below two degrees scenario, currently the most ambitious pathway available for our industry. And we signed the business ambition for 1.5-degree commitment, aligning CEMEX with the goal of the Paris Climate agreement to keep global temperature right with 1.5 degrees Celsius above industrial levels. With this agreement, CEMEX also joined the Race to Zero initiative a global effort backed by the United Nations, by which governments and the private sector come together to create a carbon neutral economy by 2050. Finally, we are proud that the Global Cement and Concrete Association of which we are a founding member has launched an industry road map to reach net zero in concrete by 2050. The road map includes an ambitious 2030 target for the industry to eliminate five million tons of CO2 by 2030. Importantly, the road map marks the biggest global commitment by an industry to net zero to-date, with major cement and concrete producers responsible for 80% of total production outside China signing on. And now, back to you Lucy.
Lucy Rodriguez: Thank you, Fernando. Despite heavy rains and hurricanes in the quarter, the US continued to enjoy strong demand across all products, with most of our markets sold out. Cement volumes grew double-digit in three of our four key states. The outlier was once again Texas, which experienced significant weather issues in the quarter. Demand continues to be driven primarily by the residential sector. In response to severe input cost inflation related to imports and energy, we announced a second round of pricing increases for the third quarter. The first time in 15 years, we have introduced a second round of pricing throughout our US footprint. The pricing announcement, which covered our cement and ready-mix businesses, resulted in prices increasing 2% sequentially. And while we are pleased by the new cadence of pricing increases, it is still not enough to compensate for today's rising cost in energy and the imports. We will continue to consider these costs in our 2022 pricing increases. We have already announced price increases for January, for Florida and Southern California, an area which represents approximately 35% of our cement volumes. We will soon be announcing pricing increases for April for the remainder of our markets and we intend to announce a subsequent pricing increase for the summer or early fall. During the quarter, we experienced inflationary headwinds, driven by a 34% increase in the year-over-year cost of imports and a 19% rise in energy costs. As a result, our EBITDA margin declined by 3.6 percentage points. As we look forward, we remain optimistic on the outlook for volumes in the US. We believe that while residential growth is slowing from the strong pace of the last 12 months, it will continue to add incremental volumes over the medium term. We also expect industrial and commercial demand to rebound in 2022. Finally, for infrastructure, we remain optimistic regarding the passage of the infrastructure plan, which we would expect to yield incremental demand for our products towards the end of 2022. In Mexico, net sales increased 10%, driven by strong pricing and volumes. With continued recovery in the formal sector, ready-mix and aggregates showed strong growth. Aggregates have now joined bank and bulk cement as products that have surpassed pre-pandemic levels, while ready-mix continues to recover. Cement volumes declined 3% in the quarter, due to adverse weather and more difficult year-over-year comps. The decline also reflects a slowdown in bagged product after five quarters of double-digit growth. The moderation was due to more difficult year-over-year comparisons, as well as front-ended government social program spending in an election year. With the acceleration in formal sector activity, bulk cement volumes grew, partially offsetting the decline in bagged product. While EBITDA rose 7% in the quarter, EBITDA margins compressed 0.8 percentage points, mainly due to higher fuel and freight cost and product mix. Despite good traction in our pricing actions year-to-date, pricing gains have not been sufficient to compensate for input cost inflation particularly fuels. To this effect, we announced a price increase of mid-single digits for bagged cement effective end of October. You should expect that our pricing strategy will continue to reflect input cost inflation. Demand fundamentals in Mexico remains strong with a high level of capacity utilization for the industry. Formal housing continues to gain momentum and drive formal sector demand. Housing steps and permits increased more than 60% year-to-date September. Going forward, low levels of inventories, attractive mortgage rates, and availability as well as job creation should support volumes. As mentioned at our CEMEX Day, the industrial segment is also picking up momentum. We continue to see development of warehouses and manufacturing facilities in border states, and the build-out of distribution centers and logistic cubs throughout the country. As travel restriction ease, the tourism sector is growing once again and previously stalled tourism projects are resuming. We remain optimistic regarding the prospects of the Mexican market. We expect cement demand to continue to grow over the medium term, but at more moderated levels. Bank cement growth rates will be supported by strong remittances, job creation, consumer spending, and the government's prioritization of social programs that use bagged cement. Meanwhile, bulk cement ready-mix and aggregates should continue improving on the back of GDP growth, and the acceleration of formal construction. Formal residential demand coupled with industrial activity and flagship infrastructure projects should drive volumes going forward. In EMEA, top line growth in Europe driven by strong volumes in pricing more than offset a slight decline in sales in Asia, Middle East and Africa. European cement volumes were up 4% led by double-digit growth in the UK and Poland as these markets continue to benefit from important infrastructure and residential projects. Given the take capacity utilization in Europe, and the sudden run-up in input cost inflation, we implemented a successful second price increase in several European markets. As a result European cement prices are up 2% sequentially. Price achievements to-date, however are still not sufficient to offset the cost of inflation we are experiencing in most European markets. This inflationary cost story played out throughout the entire EMEA region in the form of higher energy distribution and import cost, with consequences for EBITDA and margins. EBITDA for the region declined 9% year-over-year. In Israel, after adjusting for holidays in the quarter, average daily sales volume showed significant momentum with ready-mix up 10% in aggregate up 3%. In the Philippines, cement volumes were stable year-over-year impacted by the rainy season and a difficult prior year comparison base. Operational costs in the Philippines also rose due to the higher cost of imports. For more information, please see our CHP quarterly earnings, which will be available this evening. Finally in Egypt, we are seeing improved supply demand dynamics after government decreed to rationalize cement production. Our South Central America and Caribbean operations continue showing strong growth dynamics with net sales up 10% year-over-year. Despite a lockdown in Jamaica in the quarter, regional cement volumes increased 5% driven by double-digit growth in the Dominican Republic and Central America. With successful pricing actions year-to-date in most markets, prices in the quarter however declined sequentially largely due to product and geographic mix. While EBITDA increased 3% EBITDA margins for the region declined as a result of higher fuels, imports and maintenance. In Colombia, cement growth was supported by housing, self-construction and infrastructure. The outlook for cement volumes in Colombia remains favorable supported by a healthy self-construction sector, 4G highway projects, as well as the rollout of new infrastructure programs. In the Dominican Republic, cement volumes grew 11% on the back of the dynamic self-construction sector and the reactivation of delayed tourism projects. Going forward, we expect the self-construction sector to continue to benefit from a high level of remittances, while the formal sector maintains its recovery trajectory. We expect that our strong logistics network coupled with the introduction of our planned cement capacity additions can do a largely sold out region will continue to be an important competitive advantage. I invite you to review CLH's quarterly results, which were also published today. And now, I will pass the call to Haffar to review our financial performance and energy cost structure.
Maher Al-Haffar: Thank you, Lucy and good day to everyone. As Fernando mentioned at the beginning of the call our results year-to-date have been quite strong with free cash flow more than doubling from last year. This growth in free cash flow is driven mainly by strong operational results and lower financial expenses, partially offset by higher CapEx and investment in working capital. We've refinanced approximately 50% of our debt stack this year at a lower cost. That has translated into a reduction of 60 basis points in our cost of debt. This figure includes the refinancing of our bank facility in the next few days as Fernando mentioned. This in conjunction with debt reduction has translated into interest expense savings of $92 million year-to-date. We expect to reach savings of $120 million for the year. Investment in working capital is higher than last year, driven primarily by inventory buildup and related inflation, among other effects. In terms of days however, we are seeing a reduction of two days working capital to minus 14 days year-to-date, driven primarily by better collections efficiency. Net income for the quarter is $1.2 billion higher than last year, driven by better operating performance and lower financial expense. However for the quarter, it resulted in a loss of $376 million driven primarily by a close to $500 million non-cash impairment, mostly related to goodwill in our operations in Spain and the United Arab Emirates. Year-to-date net income is up $2.1 billion year-over-year, reflecting better operational results, sale of CO2 credits as well as lower impairment charges this year versus last. As Fernando said, we are pleased to announce that we have syndicated a new bank facility for $3.25 billion, which is replacing our previous $3.1 billion facility. This is of course subject to final documentation and customary closing conditions. The new facility represents a major milestone in our path to investment grade. It's single currency with a term loan of $1.5 billion with final maturity in 2026 and with a larger committed revolving credit facility of $1.75 billion, a little more than $600 million higher than our previous committed revolving credit line. This larger committed facility will further strengthen our liquidity position, which is very favorable from a company risk and credit rating perspective. The interest rate is based on our leverage ratio, and is about 25 basis points lower on average than what we currently have. It is unsecured with a simpler guarantor structure. Earlier this month, we announced that the security underlying all our senior debt, including our senior secured bonds had fallen away after reaching certain leverage milestones. Our new financial covenants are consistent with an investment-grade capital structure with a maximum leverage ratio of 3.75 times throughout the life of the loan and a minimum interest coverage ratio of 2.75 times. And finally, this facility represents the first indebtedness under our recently published sustainability-linked financing framework, which we intend to replicate across our debt stack overtime. As a result of the refinancing activities we've executed during the year and pro-forma the new bank credit facility, we have the best runway in our maturity schedule in more than a decade, with a record high average life of debt of 6.4 years and with the lowest cost of debt in recent times. Our improved financial profile and better operational results led S&P to recently improve our credit outlook from negative to positive with a strong liquidity assessment. As you can see on the chart, for the next four years our maturities are less than a $1 billion each year, which should be more than covered by our expected free cash flow generation. We will continue lowering our cost of funding, while maintaining a prudent maturity profile. Given the recent spike in energy markets, I would like to spend a few minutes to address this topic in our most energy-intensive part of our business which is cement. In 2020, energy and the production of cement was approximately $930 million. With regards to kiln fuel, alternative fuels are almost 30% of our fuel mix and growing and almost half of that is with biomass content. This is important not only because they have lower CO2 footprint, but also on a per calorie basis they represent a fraction of what fossil fuels cost. In addition, they have different price drivers than fossil fuels. And in some, geographies alternative fuels are no longer cost, but have been converted into a revenue stream. For example, in Europe, three of our major markets have negative cost of alternative fuels, an excellent example of how the cement industry can contribute to a circular economy with the right public policy incentives. Our CO2 roadmap has a target of 50% of alternative fuels usage by 2030 and progress on this goal should help us further reduce our carbon footprint and fuel cost as well as dampening price volatility. Now moving to electricity. Approximately 30% of our needs are sourced from clean power, which is less volatile than electricity generated from fossil fuels. In total for 2021 in terms of price exposure, approximately half of our energy consumption has been fixed for periods ranging from six months to 20 years. As you can see in the line graph, despite sharp volatility in primary fuels our energy cost per ton of cement produced has remained fairly stable, growing 12% year-to-date and we are expecting 14% for the full-year. Finally, we also have exposure to energy outside of cement production specifically diesel, which is used in our transportation activities. Diesel accounts for approximately 2% of total COGS plus OpEx or $230 million. We typically hedge at least 50% of our total annual diesel needs and that strategy has certainly paid off this year. And now back to you Fernando.
Fernando Gonzalez: Thank you Maher. As you are aware at CEMEX Day, we gave a preliminary estimate of a cost headwind of approximately $100 million due to supply chain, transportation and inflationary pressures. After closing third quarter and considering recent volatility and supply chain disruptions, we believe there could be downside risk to our initial estimates. As a result, we are lowering our 2021 EBITDA guidance to a range of $2.95 billion to $3 billion. This range considers a marginally higher adjustment from what was discussed at CEMEX Day. We expect that pricing increases going forward will offset this input cost inflation but it will occur with a live. Given the high capacity utilization in most of our markets, we are confident that we will be able to price through this cost decline. And we think this is already happening since in the third quarter, we saw the best percentage price growth in cement since 2016. Importantly we are not making changes to our expectations of sales growth. Our regional volume guidance, which is available in the appendix of the presentation, remains unchanged. We have adjusted our guidance for energy cost in the production of cement to 14% growth versus our prior 12% estimate. Due largely to supply chain disruptions, we are lowering our total CapEx guidance by $100 million. Finally for working capital, we are expecting an investment of approximately $200 million for the year. The economic outlook for our footprint is favorable. In ready-mix and clinker business, most of our markets are operating at sustainable mid-cycle levels, while others are entering an up cycle after years of decline. While we expect volume growth will be more muted due to more difficult prior year comps, we continue to expect growth driven by pandemic reopening and fiscal and monetary stimulus. Supply/demand dynamics across the portfolio are tight and should be supportive of price. With our production and logistics network, we are uniquely positioned to deliver on these growth opportunities. Energy will remain a headwind for the foreseeable future, but we believe our energy diversification strategy and pricing will provide counterbalance. We will remain vigilant on costs and there is more visibility on supply chain resolution. Our investment focus remains on our bolt-on investment portfolio and we believe there are ample opportunities for us over the next two years to three years. The return on these investments should continue to support EBITDA growth in 2022 and beyond. And finally, we will continue to advance on our climate action goals, not only because it creates value for stakeholders, but because it is the right thing to do for future generation. And now back to you Lucy.
Lucy Rodriguez: Before we go into our Q&A session, I would like to remind you that any forward-looking statements we make today are based on our current knowledge of the markets in which we operate and could change in the future due to a variety of factors beyond our control. In addition, unless the context indicates otherwise, all references to pricing initiatives, price increases or decreases refer to prices for our products. And now, we will be happy to take your questions.
A - Lucy Rodriguez: In the interest of time and to give other people an opportunity to participate, we kindly ask that you limit yourself to only one question. [Operator Instructions] And the first question comes from Adrian Huerta from JP Morgan. Adrian, please go ahead.
Adrian Huerta: Thank you, Lucy. Hi, Fernando and Maher. I want to talk about -- 
Fernando Gonzalez: Hi.
Adrian Huerta: Hi. I want to talk about this year's guidance and next year's expectations. So number one, based on the new EBITDA guidance that you provided, the implied 4Q EBITDA seems to be with a growth of around 10% to 18% year-on-year, which is much better than 3Q's growth of plus 2%. What will be different in the fourth quarter versus the third quarter? And what gives you confidence on this implied EBITDA for 4Q with energy costs and imports will likely not change much versus 3Q? That's number one. And then, number two is, there's very good momentum on prices. And so far cement prices are 4% in local currency year-over-year in the first nine months, stronger in the last quarter, aggregates and ready mix 1% and 2%. Should we expect a stronger pricing next year, given the comment that you have mentioned? Should we expect a couple of percentage points more? And if that will be more than enough to offset the higher energy cost pressure that we will see next year?
Fernando Gonzalez: Thanks Adrian. Let me start with the first question about the fourth quarter EBITDA growth. I would like to refer mainly to two variables. The first one is the inertia of our adjusted pricing strategy and the second one is the low level of maintenance we are going to be having during the fourth quarter. Since last year and originated by the pandemic, our maintenance has been changing its timing because of initially some plants slowing down or even shifting down and now the coal plants almost running to full capacity. So we have some adjustments in maintenance, but we do expect a lower maintenance during the last quarter. Now, let me refer to the inertia of our adjusted pricing strategy, because it is impacting already, it will impact even more during the fourth quarter. And it will set expectations on pricing for next year. So I tried to briefly describe the process. We all know what happened. There were some signs of inflation there during the year, but nothing as clear and as high as we know nowadays, but we started feeling the impact of the input cost inflation and started reacting during the second quarter. Now, you can hardly react immediately to this phenomenon. We have seen it in the past and it takes some time to -- for us to react, to announce, to adjust and for customers to assess and for the whole market to move forward with a different pricing strategy. So when I say this is a process that it's going, it is going and it's going very well and there will be some additional inertia for the fourth quarter. Let me refer to the fact that our prices, if we measure them comparing point to point, comparing December 2020 to September 2021 prices have increased 15% in EMEA, 9% in Mexico and 7% in the US. So that will continue happening in the fourth quarter and we do believe we really consider that the same inertia with the additional pricing strategy of '22 will allow us to minimize the impact of inflation for next year. Why am I talking about an adjusted pricing strategy because that is what you have to do. And we have managed to increase depending on the market, the conditions, the users in the market. We have increased prices 2x to 5x during the year to adjust to these new levels of inflation. So I think we will be better prepared in our pricing strategy for next year because we can say that this year we energy acting in the second quarter and effectively already by the summer. But next year it will start from January 1. So the impact of our pricing strategy will be much larger than what it was this year.
Adrian Huerta: Yes, I think that’s included. And well I was going to say just a follow-up on when you said that on the maintenance -- the lower level of maintenance can you quantify that a little bit on what would be 4Q versus what we saw in third-Q?
Fernando Gonzalez: I don't have that in for handy. I don't know if market would lose the…
Maher Al-Haffar: Yes. Yes Fernando I cannot comment on that. Adrian one thing I wanted to add which is on the maintenance topic is that, remember that third quarter last year we were in kind of virtual lockdown. I mean -- and maintenance was relatively low compared to third quarter of this year. So I think that when you're looking at the sequential third quarter to fourth quarter you have to consider that -- I mean we have increased scope of maintenance quite significantly in the third quarter. And going into the fourth quarter, I mean we have an estimate mid-teens to low 20 difference between third quarter and fourth quarter in terms of maintenance differential. So that in itself is a big item. The other thing I wanted to mention also at the on complementing what Fernando said on the supply chain side, again we need to take a look at what happened in the third quarter. We had a particular spike in imports and purchases in one of our biggest markets which is the US and we think that will be managed more better I would say or let's say without the surprise that we had in the second quarter you have the ramp-up of CPN and other imports coming from Mexico which should also help in that. So you have the pricing, you have the cost effect, you have the supply chain effects and then the maintenance effect. That's what gives us the comfort that we should have the sufficient sequential growth to get us to the full-year range that Fernando guided to.
Adrian Huerta: Thank you, Fernando and Maher.
Fernando Gonzalez: Thank you.
Lucy Rodriguez: Thank you. And the next question comes from Francisco Chavez from BBVA. Chavez, please go ahead.
Francisco Chávez: Hi, thanks for the call, Fernando, Maher and Lucy. My question is regarding the drop in EBITDA margins. Besides the increase in cement prices do you have any specific strategy to offset this margin erosion specifically cost savings plans or maybe can we expect the bolt-on investment to offset this margin erosion? Thank you. 
Fernando Gonzalez: Sure. Let me start with a few comments and perhaps after either Mahar or Lucy can complement. I think there is not a simple bullet to deal with the levels of inflation we've seen in the last few months. But I would like to refer to three issues. The more relevant one is our pricing strategy. That, of course, is the best response for higher levels of inflation. As I commented in the previous question to Adrian, we have already adjusted since we started every meeting during the second quarter adjusting our prices according to our inflation expectations for the rest of the year. And as I said, we have already managed to increase two to four times prices depending on market conditions and practices. And I think as of September when comparing point-to-point, our price increases have shown being extraordinary compared to previous years. And we do believe they will continue to be extraordinary in terms of higher increases to cope with higher inflation. That's the fifth comment. Then there are other issues related to cost reductions. I'm not going to make full disclosure on issue, but let me refer to two of them. With impact the year but higher impact, positive impact in next year is the increase in the use of alternative fuels and you know alternative fuels in our case using basically RDAF, is a fuel coming from weight with high content of biomass. Those fuels do not correlate to the price of oil or coal or petcoke or any other. So, when we see these high prices in petcoke and others, alternative fuels tend to be much more attractive. We continue increasing the level of alternative fuels. We are just finishing the last investment in our Rugby plant the UK. So, you can expect some savings in Africa. Mahar already mentioned, in the case of Europe in some countries, not all of them, but this is a trend moving forward. When achieving levels of about 9% of with this alternative fuels, our highest production cost fuel turns into income statement. So, next year, we will have some positive impact because of these issues. Another one is the progress we are doing in our digitization strategy and in this case, I'm not referring to [indiscernible] which is our digital strategy towards customers, I am referring to what we call Working Smarter, which is no different than digitizing all internal processes, administrative processes that we started -- initiated this year and we will start having full impact next year. So, the other thing that I would like to comment on top of what I considered the most important variable which is an adjusted pricing strategy and the comments I made on the cost part. I would also like to call the attention to the fact that there are relevant reductions in margins that are caused by mix effects and not necessarily because of inflation. In the case of -- our cements plants have sold out. And any additional volume that we need in order to serve the market, a market that is growing it's coming from imports. And cement imports do have a much lower margin that cement we produce and sell in the US. So, we have material increased volumes in the US. Increasing our import -- let's say, enlarging our import business in a good way, which is having around three percentage points of impact in margin that has nothing to do with inflation. This is just this business of imports with lower margin increasing much more than the production we have in the US. And a similar story meaning similar in terms of margin impact not similar in the what is causing it is in Mexico. As we have been describing during the year the first segment in the case of Mexico and other countries in emerging countries the first segment we're acting after lock downs and after the impact of Coronavirus in the second quarter of last year was the bagged cement segment. So what we've seen already after the big shape recovery we saw in the second quarter last year is that bagged cement increased very rapidly, while the segments related to the formal economy in Mexico saw at a moderate recovery and that has continued. So nowadays in Mexico, we have a much larger proportion of the segments related to the formal economy name it ready-mix, bulk cement and aggregates. And this increase in these segments have impacted our margins by about 1.5 percentage points again because of mix not because of inflation. So again most important part on adjusted pricing strategy continuing efforts to reduce cost and expenses, and this clarification on margins because of the different segments of our business accommodating to the way that the coronavirus recovery has been happening in different markets. A final comment is referred to the impact in our growth strategy the impact that supply chain constraints is having. Definitely our projects which most of our growth projects are bolt-on investments meaning they are Greenfield, brownfield type of investments and we have seen a delay in those investments just because we have not had timely equipment the permits everything has been sort of slowed down because of this supply change constraints. So we have adjusted our expectations also because of that. Now what is it that we are doing in that regard we are paying more attention and we are trying to position and to require purchase orders, to gain some loss and to perform on those projects as far as possible. So that's what I can comment on your question.
Francisco Chávez: Thanks so much.
Fernando Gonzalez : Thank you.
Lucy Rodriguez: And the next question comes from Nik Lippmann from Morgan Stanley. Nik, please go ahead.
Nik Lippmann: Thank you very much. Thanks for the call and for taking my question. I was wondering just changing a little bit to South America and ask perhaps a similar questions. You had very positive language with regards to pricing in the Caribbean-Colombian market. When -- can you give some color on when you think that we will see that materialize we'll see pricing into 2022 some of the dynamics that you're seeing in those particular markets? Thanks a lot.
Fernando Gonzalez: Well, thanks, Nik. I think the process itself and the strategy itself is very similar to the one that I have described. But each country and each market is different. And what we have seen clearly is that this adjusted pricing strategy has been taken by the market, for instance, in the case of the US and Mexico. In the case of stack some countries and because of basically, you know, how this is because of basically being sold out then this pricing strategy sticks and evolves very nicely. In the case of South America there might be some markets and countries where capacities not fully utilized and the strategies of trying to cope with the input cost inflation are not as effective as others. So in the case of South America there might be a couple of markets. One example is Panama. There is still excess -- not excess capacity but capacity is not fully utilized. So we might have some issues in that type of market in South America.
Lucy Rodriguez: And maybe if I could just add one point that I think is important to just highlight for the quarter. In SCAC, a very important market is Jamaica, particularly in the Caribbean. And Jamaica was under a very strict lockdown because of the emergence of COVID again in third quarter that affected volumes tremendously as well as we had significant maintenance there. So, I think Jamaica is one of the higher-priced markets. So, I think when you look at pricing performance of SCAC for the quarter it is impacted by that from -- again from a mix effect. So, just to keep that in mind.
Nik Lippmann: Got it. Thanks a lot.
Fernando Gonzalez: Thanks, Nik.
Lucy Rodriguez: And the next question comes from Carlos Peyrelongue from Bank of America. Carlos?
Carlos Peyrelongue: Thank you, Lucy. Thanks for taking my question. Question is also related to pricing. You mentioned that the new strategy will be to increase pricing at least twice a year. And I wanted to ask if this applies also to SCAC and EMEA, if they're going to also be following this strategy of at least two increases a year. And besides the increases, you mentioned in Florida, California and Mexico, have you announced any other price increase for next year or for the remainder of the year in the other regions?
Fernando Gonzalez: Let me start with the first question and I’ll pass the other one to Maher and to Lucy, just to clarify Carlos. We do know - we have a general new strategy on pricing. Well, it's really not new. The basis of the strategy we always have which is at least recovering input cost inflation. The thing is that inflation has increased dramatically. So the adjustment is how to cope with these levels of inflation as fast as possible. But we are not -- we do not have a global type of pricing strategy. It is a global intent, but the specific pricing strategy has to be accommodated in each and every market and the conditions in the market. So just to clarify that, I did mention that this year, we have been increasing in some markets we have been increasing price twice a year. But in some other markets, we have increased sometimes already. So the pricing strategy of two times and perhaps three times a year is more related to developed markets like Europe and the US and the three times, four times per year is more related to bank cement in emerge. And that's because of the characteristics of each market and business. But I think regardless of the number of times, we adjust. I remember with very high inflation long time ago there were monthly price increases or weekly price increases. But I think what we -- what should be clear that what we are doing is to at least recuperate input cost inflation. And next year we will try to recuperate whatever inflation happens in 2022 and whatever we have lost in 2021. The other consideration that, I think I consider it relevant is -- and then remember that our reaction to a much higher inflation in our pricing strategy even start in January this year. We started second quarter -- at the end of second quarter, let's say, during the summer. And next year it has already started. The prices that we have announced are already considering much higher levels of inflation. And the frequency of those increments will be also different during next year. So that's what I have to say. I don't know, Maher, can you comment on the second part?
Maher Al-Haffar: Yes. And Carlos, could you repeat the second piece? I mean because I feel that Fernando maybe covered it. What was the second part of your question?
Carlos Peyrelongue: The second part Maher was whether they have already announced price increases in other regions apart from Mexico, California and Florida that Fernando mentioned.
Maher Al-Haffar: Yes, yes, of course. I mean we -- I mean again Europe is difficult to talk about. But in Europe, we've had announcements in July and they're announcements for later this year in Spain. You had obviously the beginning of the year and then you had in October also some pricing increases in Poland, you had announcing increases both in April and in September. In Colombia, you had two pricing increases in January and then in May, during the year. In the Philippines, although the market there is a little bit difficult, there was an announcement in August. So it is really throughout our portfolio that there has been, multiple pricing increases. And as Fernando said, I mean going into 2022, there's probably likely to be more timely pricing increases proactively than probably this year. And we believe the traction, I mean, I'd like to come back to a point that Fernando mentioned early on in his Q&A and that is the acceleration of pricing on a sequential basis. The point-to-point pricing in our market is really, really critical Carlos. I mean, having a 15% pricing increase in EMEA primarily as a consequence of the pricing action in Europe, point-to-point December to September, very important Mexico 9% point-to-point, U.S. 7%. And these are happening roughly from middle of the year into the third quarter. So we're likely to see better pricing acceleration into the fourth quarter and certainly into next year right. And as Fernando said, with several of the markets we're operating in being sold out, the dynamics for traction should be more favorable.
Carlos Peyrelongue: Understood. Thank you.
Fernando Gonzalez: Thank you very much, Carlos.
Lucy Rodriguez: And the next question comes from Barbara Halberstadt from JPMorgan Fixed income.
Barbara Halberstadt: My question is on the cost increases being particularly in the U.S. and Europe how persistent do you think these pressures are? Also, how do you see these inflationary pressures in Mexico and SCAC, which seems to have been more contained this quarter? I think we've talked a little bit about the last point but maybe how persistent do you think these pressures are in the U.S. and Europe?
Fernando Gonzalez: Well, I think what we can comment is that we are considering as our base case scenario that inflation will continue that shipping costs are not going to be declining or not in the very short-term the use the inflationary causes in oil, national gas, coal, pet coke will be maintained perhaps even going a little bit shorter. But all-in-all I think in our base case scenario, we are assuming that this inflation will be sustained. And that's the base case, we are considering again for our adjusted pricing strategy. So that is basically what we see on how persistent this inflation will be. We all have heard that this inflation is caused, because of the demand and as well as a supply shock. And it is temporary. And most probably that would be the case. But we are -- this is our base case scenario in inflation for the rest of the year and for 2022.
Maher Al-Haffar: And if I can add Fernando, I think Barbara the other component here is a good portion as you can see, as you saw in the presentation was we purchased the purchase of cement and clinker or the imports of cement and clinker, primarily in the U.S. and to a lesser extent in the U.K. because we shutdown a plant there. And in the U.S. there was a spike in need for product, because we're sold out and the market grew at a fairly high rate. Now, as you know, we are ramping up production in a couple of our plants in Mexico for exports into the U.S. that is likely to help going into next year. And also, managing better the transportation, contracting transportation, I mean as Fernando said, we don't expect transportation to go down. But if you're contracting transportation on a very short-term basis, it's likely to be higher than if you were managing it on a longer-term basis. So, we do expect inflation to be persistent, but we also expect managing the cost going into 2022 in the US and I mean all of our markets, but particularly in the US where the source of input cost there, because the business was doing very well. I mean, not because of bad reasons, it's because of good reasons that that's happened frankly. Lucy, I think we can go to the next question.
Lucy Rodriguez: Yes. Okay. Sorry, I seem to be having one of the virtual hazards from working from home. The next question comes from Vanessa Quiroga from Credit Suisse. And I’ll go on mute.
Vanessa Quiroga: Thank you. Hi, Fernando, Haffar and Lucy. My question is regarding the early 2022 guidance that are provided of 10% growth in EBITDA. How comfortable do you see right now with this potential growth? And maybe just quickly, if you could break down the reduction in margin in EBITDA margin for Mexico, how much was it due to less favorable mix how much higher energy costs and how much was higher maintenance that would be expected? Thanks.
Fernando Gonzalez: I will take the first part and I would like to have Al-Haffar to take the second one. So Vanessa, we have as you know we have reduced our guidance for this year to $250 billion to $200 billion. So that's already a lower base when we gave the guidance of 2022 10% growth of the 2021 base. So we feel still – let me tell you the positives, and the concerns we have on that guidance. So we feel positive in terms of our markets and volumes continue evolving in a very positive manner. Using as an example the US and Mexico, although we've seen adjustments to a lower numbers GDP growth in general terms one percentage point here and there. We have not seen that translated into a lower or a bigger impact in our activity in our sector in construction. So you know the story very well. In the case of the US, we do see housing still very positive multi-pay booming. A couple of pieces of info, I mean, inventory levels are getting into a level two, three months that's already – I consider that already at some sort of scarcity. It is too low. At the same time, they are very positive but also like still the cost of mortgage employment so we believe that the housing in the US will continue being very positive. Infrastructure even without the new infrastructure buildup, of course, we do expect to pass during the fourth quarter. But even without that infrastructure has been contributing in a moderate manner, but it's been contributing. And in the case of industrial and commercial, it's little by little but it can impact. That's the part of the economy that is coming back after the heavy impact of coming COVID-19 in the economy. Same thing for Mexico. Mexico housing permits 60% growth mortgage – mortgages all the public works already at high-speed of execution the airports the train the project in the one effect is more. So we feel that top of the line volumes are doing okay. We have not changed our view in that regard. And when commenting on the other part of top of the line, which are prices I think I have already described that we have adjusted our pricing strategy so that you can expect it for us trying to cope at least to cope with inflation, but we didn't manage to recover in 2021 plus inflation we are expecting in 2022. I already said that our base case scenario, but we believe that this inflation will be sustained during next year. So I think that is very positive. I already mentioned a few positive issues on cost reductions. As currency fuel has been one of them. I overprescribe one specific example that, we are going to be finishing next month in the UK. Moving to our review plans from around 60% of the that to 90% or even more. So those are the positives. The variable that we need to pay lots of inflation is the balance between inflation on our pricing strategy. Why you said that we are positive on the price strategy, because we have seen already, we have commented a couple of times how our pricing strategy. When looking at from point-to-point December to September this year is it effective. Not effective not to with inflation. Again it didn't start at January 1st, but it's been effective. So we are very positive because most of our markets are sold out and that is a condition needed in order for us to be effective on passing inflation to other markets and not the revenue margins. Now the other thing when thinking of next year, we need to be clear. And we will try to buy that in much more, once we have or the best of the year when we report this fiscal quarter is how is it that the process that we've seen evolving since COVID-19 second quarter last year, a little bit reposing now is impact in margin just because of mix, not because of losing margins to inflation. But all-in-all we do -- I do believe that next year is going to be euro. Not sure on the percentage we need to value to evaluate this new starting from this to $290 billion to $3 billion and charging them the percentage next year. We will do that in our fourth quarter call.
Maher Al-Haffar: And Vanessa on the margin, I mean, a couple of things were happening in Mexico. I mean, of course, it did drop by 80 basis points. The product mix was about 1.5 percentage points of that and that was primarily due to -- if you take a look at particularly in the quarter, cement volumes moderated versus very healthy growth in ready-mix volumes and in aggregates volumes. And so there's a little bit of - that's the product mix effect that is taking place. On the full-year basis, of course, I mean on a year-to-date basis cement volumes continue to outstrip the growth that we're seeing in ready-mix and to a lesser extent in the case of aggregates. The -- we also had higher wages and salaries in the quarter. And that's primarily because of maintenance, cost and inflation as well in terms of salaries and energy was of course a very important contributor. That was -- that had a negative impact of almost three percentage points because of the real important spike in pet coke prices almost 150% on a year-over-year basis. Now, of course, all of that is being offset by very good pricing actions, which was almost 4.5 percentage points offsetting some of these drops. So -- and then the other component also that was growing tremendously is urbanization solutions and urbanization solutions also have lower margins good return on capital but lower margins and that contributes a little bit to the product mix as well. So I hope that covers the question Vanessa that you had on that.
Lucy Rodriguez: If I could just add one point on that. On the higher wages, Vanessa, a lot of that is related to the outsourcing law in Mexico that took place. So just to be clear, okay?
Vanessa Quiroga: That’s it. Thank you very much.
Lucy Rodriguez: Thanks Vanessa. The next question, I think we can answer fairly quickly, because it's we’ve done part of it already. But it’s from Francisco Suarez from Scotiabank.
Francisco Suarez: How far Fernando, can you go to increase your fossil fuel substitution rate in the short-term to mitigate the rise in energy cost and in which region? It is my understanding that at very high rates of capacity utilization, you can't add more alternative fuels unless you add hydrogen.
Fernando Gonzalez: Sure. Thanks for that question, Francisco. And you may know our substitution of primary fields with alternative fuels and in alternative fuels mainly RDF, meaning the fuel coming from households and industrial waste has been evolving to time. It was like 15 years ago when we started decisively to move forward with this type of fuels and we have managed to get to almost 30% substitution. And you know we have a target of almost doubling that amount by 2030. So we continue the process. I have already mentioned a couple of times this specific project that is going to be finished by next month and will contribute to the increasing alternative fuels of CO2. We continue with this investment everywhere. There are material differences on the solutions from this type of alternative fuels in different countries basically below emerging, but there are solutions. In Mexico, we are using about 25% of our fuels as alternative fuels. The US about 20% or slightly more percent. So what you can expect is that we will continue these efforts. Now the observation you are making on the high rate capacity utilization on alternative fuels, is that right? That is the case and that is why we have proactively already incorporated hydrogen equipment in all our cement plants in Europe. That is done. And the reason being we do not want to slow down our alternative fuel strategy to the lack of capacity. So we are using hydrogen injection. We are also using oxygen injection to being able to cope with both our strategy in alternative fuels which has an impact in our climate action plan as part of a road map to reduce more than 40% of CO2 by 2030. And also to be sure that we can cope with the market. Now with all solutions put in place, if needed we can always turn to additional inputs to go with our market positions, but so far we have not need to do that. We have managed properly to keep capacities in other plants with these two solutions you are mentioning in the question. 
Lucy Rodriguez: Great. Thank you very much, and unfortunately we only have time for one more question. Anne Milne from Bank of America fixed income. Please go ahead.
Anne Milne: Thank you. Good morning Fernando, Maher, Lucy. Thank you for the call as well.
Fernando Gonzalez: Good morning.
Anne Milne: Interesting and challenging time. So I want to ask, I guess, Maher would be the best one to answer this question about the -- some of the news on the debt front that you have. So you've released the collateral that was backing the financing agreements. And for those of us who've followed you for a while that's been in place for a long time. So that's a big deal. I think you mentioned Maher that you've simplified the guarantees. So I was wondering if you could tell us what the simplified guarantees would be? And just to confirm is it still the same that when you reach investment grade those guarantees might fall away as well? And then I just want to see what on this new financing that you're negotiating with your new margins and with your sustainability framework, how much do you think will be initially outstanding because they believe the current amount under your bank facilities is less than the at $3.25 billion, which is what you're agreeing to right now. So if you have any information on that that would be helpful. Thank you very much.
Maher Al-Haffar : Sure Anne. Thank you for your question. I mean, just for everybody to know under the previous -- the current facilities agreement we have about nine guarantors and we're simplifying it to four guarantors. Two of the new -- two of the guarantors are new. CEMEX operations to Medico and CEMEX Innovation Holdings. And for those of you who are interested in this -- in the details of the corporate structure you can get that on our investment -- on our Investor Relations website. There's a very thorough or chart that shows all of the guarantors there. And we're simplifying it. We're taking essentially Senex Espania and all of that chain that was involved with some expanding just because of the cumbersomeness of dealing with any amendments and all that. It's very costly to administer. So that's the simplification. We're going from nine to four and we're offering two new guarantors that are higher level essentially than CEMEX, is fine essentially.  And in terms of the pricing, as we said it's going to be about a quarter of percentage point on average tighter than the current facility. With the added benefit also and is that the facility is going to be -- instead of being multi-currency it's going to be in 100% in dollars. And then we're going to swap half of the dollar amounts into euros. And the reason we're doing that, because that gives us the ability to benefit from the negative LIBOR that exists today. As you know, your LIBOR is negative by somewhere around 56 basis points 57 basis points. So that effectively brings the overall weighted average cost even more than that because of that ability to do, which we did not have under the previous agreement. In terms of the sustainability piece, I mean this is the first time that we do financing under our sustainability framework. As you know, the framework has three elements to it, CO2 emissions, clean power, into our cement operations and alternative fuels. And there's a two basis point up or down spread on the first metric and then there's 1.5 basis points each on the other two metric again up and down. And those metrics are very consistent with other high non-investment-grade or when that come to the market recently. I mean we're right there within that level. And I forget, is there anything that I did not cover into the in your question?
Anne Milne: Just the amount that you will initially have out finding under the new facility that's all?
Maher Al-Haffar: Yes, of course. So the old facility was $3.1 billion and we had $2 billion and right literally in the last month or so we did a small prepayment on that. So out of the box, next week when we close the transaction, we will have outstanding under the facility $1.5 billion under the term loan and we will have the full availability. We will not have any utilization under the committed revolving credit facility which will be for $1.75 billion. So it will be $1.5 billion outstanding under the term loan and that's it.
Anne Milne: Okay, great. Thank you very much. Good luck with that and congratulation.
Maher Al-Haffar: Thank you very much Anne, for your questions.
Lucy Rodriguez: We appreciate you joining us today, for our third quarter webcast and conference call. If you have any additional questions, please feel free to reach out to Investor Relations and we look forward to seeing you again on our fourth quarter results. Many thanks.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.